Operator: Welcome to the Roper Technologies Fourth Quarter 2017 Financial Results conference call. We’ll now begin. Please note today’s call is being recorded. I will now turn the call over to Zack Moxcey, Vice President, Investor Relations.
Zack Moxcey: Thank you, Jim, and thank you all for joining us this morning as we discuss the fourth quarter and full year financial results for Roper Technologies. Joining me on the call this morning are Brian Jellison, Chairman, President and Chief Executive Officer; Rob Crisci, Vice President and Chief Financial Officer; Neil Hunn, Executive Vice President, Jason Conley, Vice President and Controller; and Shannon O’Callaghan, Vice President of Finance. Earlier this morning we issued a press release announcing our financial results. The press release also includes replay information for today’s call. We have prepared slides to accompany today’s call, which are available through the webcast and are also available on our website. Now if you’ll please turn to Slide 2, we begin with our Safe Harbor statement. During the course of today’s call, we will make forward-looking statements which are subject to risks and uncertainties as described on this page and as further detailed in our SEC’s filings. You should listen to today’s call in the context of that information. Now please turn to Slide 3. Today we will discuss our results for the fourth quarter and year primarily on an adjusted non-GAAP basis. A full reconciliation between GAAP and adjusted measures is on our press release and also included as part of this presentation on our website. For the fourth quarter, the difference between our GAAP results and adjusted results consists of the following items on a pre-tax basis: a $215 million one-time net gain resulting from the Tax Cuts and Jobs Act; a $73 million adjustment for amortization of acquisition-related intangible assets, and lastly an $8 million purchase accounting adjustment to acquired deferred revenue relating to software acquisitions and $1 million of related commission expense. This represents revenue and commissions that those companies would have recognized if not for our acquisition. Now if you’ll please turn to Slide 4, I’ll hand the call over to Brian. After his prepared remarks, we will take questions from our telephone participants. Brian?
Brian Jellison: Thank you, Zack, and good morning everybody. We have four categories here - we’ll look at the Q4 and full-year 2017 financial results, and we’ll look at the 2017 segment detail and how it sets us up for our 2018 segment outlook. You’ll see throughout the discussion, once we get into the segments, that the segments have really changed pretty dramatically over the last several years. They’ve become much more diverse, which creates some opportunity for us that we’re going to try to exploit here shortly. In 2018, we’ll show you the enterprise guidance for the year and then take your questions. Next slide. If we look at the quarter, it really was a terrific quarter. We had record results on revenue, net earnings, EBITDA and cash flow, cash conversion was spectacular, revenue was up 21%. We had organic 5% growth in the fourth quarter, which was similar to what we enjoyed throughout the year and what we’re likely to see next year as well. Gross margin was up 30 basis points in the quarter to 62.6%. This is keeping us comfortably ahead of any cost push inflation. There certainly is some of that, that you can see, but we think we have that well in hand. Our debts were up 23% to 270, and I’m sure this will be one of those quarters that will be fascinating to read the headlines because good old GAAP, of course, incorporates the $215 million tax benefit one-time for the fourth quarter, so in GAAP we did 427. As always, we like the adjusted earnings because it paints a much more clear picture, and in fact we did 270 on adjusted earnings. EBITDA was up 21% to $441 million in the quarter. Our operating cash flow was remarkable - it was up 36%. We did $369 million of operating cash flow on revenue of $1.230 billion. Deltek and ConstructConnect had great fourth quarters but actually for the full year beat all of our revenue and cash flow assumptions. During the full year, we reduced $1.06 billion of debt, even though we did a couple of small deals, so that deleveraging, you’ll see how much that benefits us shortly. Next slide. Our Q4 income statement, here you can see the nominal numbers that are available for all of you. Importantly, the tax rate, you can see in the fourth quarter was 26.9%. Generally I think we were guiding around 29%, maybe a little less in the fourth quarter, so we got a slight benefit out of tax. Net earnings were $280 million. Next slide. Here, we have all four of the segments for the fourth quarter on one slide here in terms of the numerical impact. You can see it was truly a terrific quarter, and most importantly it supports a really good start into 2018. In the RF segment, it was up organically 4% if we exclude toll and traffic, which always has some lumpy characteristics, so it is down 1% organically but it’s of no consequence. The acquisitions of course drove all of the terrific benefits, so revenue was up 45%, EBITDA was up 47%. I think some people missed the fact there was a stub period for Deltek and ConstructConnect in the fourth quarter last year - it’s important to understand that. We treated all of the revenue and income as acquisition-related, even though we could have called some of this organic. On the medical side, you’ll see where revenue was up 4%, EBITDA was flat. We’ll talk a little bit about why that is and why that might continue for another few quarters, but energy and industrial of course had just spectacular results and unbelievable leverage. Energy was up 12% in revenue and up 11% in EBITDA, 9% organic growth. Industrial had 14% organic growth and was up a total 16%, so it was a really terrific quarter. Next slide. As we shift now to a discussion about the full year, which helps position us when we think about what our guidance is for ’18, here you can see for the full year we had organic growth of 5%. We were up 23 on revenue. Gross profit was up 90 basis points. You know, when you’re running at 61.7 in ’16, to be able to add 90 basis points of gross profit just says a ton about the quality of the management inside our company. Net earnings, you can see are up dramatically here, and the $975 million in net earnings of course doesn’t deal with how much better cash conversion we have, and we’ll talk about that. Tax rate for the year was 28.9%. We expected it to be somewhere around 30. With the new tax reform as we talk about it later, we’ll probably pick up 7%, maybe 8% lower tax rate for 2018. Next slide. For the full year, and it really is a remarkable year, we were up $860 million on revenue from $3.8 billion to $4.665 billion, so we continue to inch closer to a $5 billion revenue threshold. EBITDA was up $290 million and operating cash flow after last year for the first time in history just getting over a billion dollars. We added $233 million to that this year to bring it up to $1.234 billion. Next slide. On compounding our cash flow here at cash conversion, you can see on Slide 10 that our free cash flow closed out the year at $1.175 billion, up 22% from last year’s $961 billion, so cash clearly remains the best measure of performance in a world of adjusted commentary. So the cash is pretty clear - it was $200 million more than our net earnings. Our full-year operating cash flow was 26% of revenue. Our free cash flow was 25% of revenue. That gave us a free cash flow conversion of 121% - of course, on a GAAP basis it’s dramatically higher, and then we reduced our debt by $1.06 billion, so that deleveraging you’ll see in a second is pretty powerful. Next slide. Our asset-light business model continues to just plug along, so we closed the year for the first time in our history with a negative working capital number. You can see on this slide that year-end ’15, we had 4.3% net working capital, and then in ’16 it was down to 2.7%. This year, it’s a negative number - 3.3%. I always like to look back and see how we’re doing relative to five and 10 years ago. Five years ago, not a long time, December ’12 we were at--inventory was 5.9% of our revenue annualized, and now it’s 4.2%; receivables were 18.5%, and now they’re 16%; payables were 11.6% and now they’re 12%; deferred revenue was 5.7% and now it’s 11.4%, and when you add those columns together, you go from 7% net working capital in 2012, push forward five years and we’re at a negative 3.3%. You know, 10% of our revenue would be about $500 million that we do not have to have tied up in any way in these net working capitals, so really as we grow now, growth becomes a source of cash instead of a use of cash. At deferred revenue, you can see we closed the year out at $566 million. By the way, if I look back 10 years ago at the end of ’07, our net working capital number when we started this process was 13% versus 3.3% now. Next slide. Wow, the balance sheet should be glowing neon for you. You can see cash is $671 million, and finally that cash number, really when you look at net debt to EBITDA means something because that cash is no longer trapped outside the United States. We look at paying down a billion dollars of debt, so gross debt went from $6.2 billion to $5.156 billion. If we didn’t do any deals this year and paid down another billion, it’d be down to $4 billion, and you know the EBITDA is going to be higher than what you’ve got - we’d be at a two times debt to EBITDA, so you can be assured we’re going to be doing deals. Our net debt number at 4.4 divided by our already reported trailing EBITDA gives you a 2.8 debt to EBITDA number before we get any new cash this year, and that compares to our close-out in ’16 of 4.1. I doubt many people could do the kind of cash flow we do and maintain the discipline to drop in a one-year period from over 4 times debt to EBITDA to less than 3. It’s really great performance from all of our leaders. Next slide. Tax reform is just a marvelous thing for us. It benefits us in many, many ways. First, our tax rate is likely to come in around 21 to 23% for ’18, and this gives us more earnings and more cash flow. We’re going to be able to repatriate over $500 million rather quickly from our offshore cash, and that really adds to our acquisition capacity immediately. The mobility of worldwide cash is a huge benefit because in the past, 20 to 25% of our earnings and cash flow were coming from outside the U.S. from our great businesses there, but they tended to put pressure on you to invest in other non-U.S. areas. Now, we no longer have that constraint and we can deploy capital wherever we want to. The way I look at this is really you have the lower tax rate, higher cash flow, and then access to global cash is a perfect trifecta for Roper. We couldn’t ask for more, and I guarantee we’ll use it well. Next slide. Before we get into the segment detail, I want to tell you a couple of things we’re doing here to kind of facilitate some things around the segments. First, our segments have really changed significantly, and you’ll see that as I talk about the four current reporting segments. Those changes have created some structural oddities for us about who reports to whom and how did these things get done, and there are some opportunities for us to do a better job in cleaning this up going forward. This is really the optimum time for us to take a look at how we’re structured, so one of the things that we’re going to do to accommodate that is to appoint Neil Hunn effective today as not only Executive Vice President but our Chief Operating Officer. That’s going to help us with a process Neil and I have been working on about how we think we might want to look at realigning these segments, and while certainly it says a lot about Neil and our long-term succession, this is less about our succession and a whole lot more about getting the company structured so it’s less opaque and easier for us to talk to investors about our growth over the next three years. Next slide. On the RF technology and software segment, here you can see this is such a screaming example of why we need to do some things. This segment has been dominated by toll and traffic for years - it was always over half of the revenue. Today with the Deltek and ConstructConnect acquisitions, project management, application software, the products that we have, that’s over 75% of our total segment now, and the toll and traffic business is only about 25%. While it will grow, it will continue to wither away in terms of its contribution to the segment. We spent a very substantial amount of time in the fourth quarter of this year doing very extensive three-year strategic plan reviews with all the people in this segment, and they have widely diverse end markets, as you can see. If you look over here for ’17, Deltek and ConstructConnect exceeded what we expected on revenue and cash flow. Deltek had great balance across their govcon business and professional services, and a little acquisition we did called Onvia is going to strengthen their market intelligence subscription platform and is off to a good start in that respect. ConstructConnect’s network grew dramatically and it’s going to continue to drive recurring revenue growth. We had about 5% organic growth across all the software segments, with Freight Match and Aderant being the leaders in that. Our RF products, which is RF IDeas and Ivonics Technolog, also had positive growth. Toll and traffic, on the other hand, while they had great project execution on the MTA project in New York and Saudi, we had very low tag shipments in the first quarter of the year, and it improved throughout the year but still wound up being just pretty modest in terms of what it contributed for the year. As we look at 2018, Deltek, which will be totally organic in 2018, and ConstructConnect will certainly help our numbers in this area. We think that the software businesses ought to grow 5 to 6%, and they come in with very strong margin and cash performance. The RF products are sort of similar or a little less in gross margins, but quite good EBITDA performance and they’re growing pretty quickly. On the toll and traffic situation, we think that’s likely to be flat in 2018, although the pipeline for opportunities is the most robust it’s ever been, just that the timing is difficult to forecast. Lastly, you’ll continue to see acquisitions in both the application software side and the project management software side in various niches. I would imagine we’ll add to both of our large platforms here and you’ll see some new niches that come in application software. Next slide. If we look at the medical and scientific imaging, here again you’ll see some sector things that not everything fits together perfectly. On the medical side, we have a medical products business that’s the largest business we have in this segment, and that’s in terms of revenues led by Verathon, in terms of growth as led by Northern Digital and CIVCO. A very successful product launch late in fourth quarter on what’s called GlideScope Go, which is a portable product, and then a new BladderScan product, so we expect very strong second half of the year performance out of these launches. Our alternate site healthcare business had another good year, broad-based growth in the long-term GPO segment, and then our software businesses that support that. Our acute care software business, which is a family of independent businesses wrapped together here around the hospital software arena, had very strong growth from our decision support SaaS business, which is Strata. The diagnostic connectivity business, which is Data Innovation and International Solutions, we won a very significant Queensland project for Sunquest International Lab business. The good news about that is it’s going to be somewhere between AUD$50 million and AUD$100 million over the next several years; the bad news is this year it’s going to require mostly upfront investment as we prepare to launch all of those things. The U.S. lab business continues to be challenged. It’s really been challenged now for two years, and we’ve introduced some new products and the good thing is the new products are being picked up--they’re getting picked up as upgrades, and we’re not having success in new suites being applied to the U.S. lab business. So as we’ve looked a great deal about that and spent--actually had a board meeting out there in September, had a really deep dive and things--you know, what we think is that U.S. lab business, which is a high margin business, will probably decline sort of mid single digits for another two years before rebounding. In the scientific imaging business, we’ve had sort of a breakthrough. Fourth quarter was just beyond spectacular in orders for our cryo-EM products, and that’s going to carry over very, very impactfully in 2018. If we look at the right-hand side for ’18, you can see we’re forecasting 4 to 6% organic revenue growth for the segment, and we might do even better than that; but the margins will probably come down 100 basis points, and I want to point out that the margin for ’17 was far and away--it’s the highest margin segment. It was just under 43%, and we think in ’18 it’s going to be between 41 and 42%. Really, everything in here is doing fine, it’s just the drag for another year or two on the U.S. lab business with high margin contribution sort of gives us less than wonderful looking leverage, but we’ll be up both in revenue and EBITDA in this segment in 2018. Medical products and alternate sites are going to continue to have broad-based growth in ’18, and certainly Strata and our international business growth is going to be robust, and then it gets offset a little bit by the U.S. lab business. Imaging will be strong because Gatan has record backlog and solid delivery projects for Q2 and Q3. Next slide. On the industrial technology area, you can see the performance is--wow, if that’s all you had, what an unbelievable thing. Record year for Neptune - they continue to gain market share despite what you might hear from others. Excellent growth from our fluid handling businesses. We certainly had a rebound at our Roper pump business around upstream oil and gas, tremendous performance out at Cornell Pump with a lot of rental markets for dewatering activity. Operating leverage in this segment was above 40%. We expect to have 5 to 7% organic growth in 2018, and there are some people who think it might be even better. On the energy side, again a great story - over 50% operating leverage from nimble execution with our leaders. We had broad-based growth throughout the segment, and frankly CCC’s declines were more modest than we might have expected. Again, probably 5 to 7% organic growth in 2018, very strong leverage. There is just nothing you can say but good things about both of these segments. Next slide. As we look at 2018 guidance - next slide, we establish guidance for the year at $10.88 a share on the low end to $11.20 on the high end. That gives us organic revenue growth of 4 to 5%, maybe a little more. Tax rate is a little hard to plug in there - you know, use 22, you’re probably relatively safe, but it could be down to 21, could be up a little higher. In the first quarter, we establish guidance of 244 to 250. We’ll have a little bit lower tax rate in Q1 than we will for the rest of the year, so tax rate in the first quarter will certainly be less than 20% and then throughout the rest of the year it will bring us up to this 21 to 23% average. Next slide. In terms of a summary around ’17 and looking forward to ’18, certainly our asset-light niche market strategy continues to deliver outstanding performance, greater than 20% growth in all of these categories - revenue, earnings, EBITDA, and cash flow. What was also encouraging is the consistency and broad-based organic growth that we had, and we see that continuing into ’18. Deltek and ConstructConnect exceeded our expectations for the year - I think they had about $35 million in Q416 stub revenue that you might want to go back and see, so they really did well. Our ability to compound cash has dramatically changed. With the billion debt pay down, the balance sheet is pristine once again. Tax reform is just going to continue to compound more cash flow and an ability of us to deploy capital, and the net working capital is now a source of cash, so it’s pretty unusual to have a growth strategy in which you don’t have to invest to capture the opportunity. The CRI disciplines that we use in capital deployment you can assure will continue to be deployed, and as we told you the last time, we thought we’d probably do around $6 billion over the next four years or so, but in reality we’ll be upping that because we’re going to get at least a $250 million annual benefit in terms of how we can leverage the company with tax reform. So we’re now thinking we’ll do $7 billion or more over the next four-year period, hard to predict exactly when those numbers come to pass. Certainly we don’t budget a particular number for a year, but we would expect to be above $7 billion when we look back four years from now, and Neil and I have maybe done a little work on getting these structures a little easier to manage, so I’m looking forward to that. It was a truly remarkable year and we entered 2018 with terrific momentum. With that, we’d like to open it up to questions.
Operator: [Operator instructions] We’ll take our first question from Deane Dray from RBC Capital Markets.
Deane Dray: Thank you, good morning everyone.
Brian Jellison: Hey, good morning Deane.
Deane Dray: Congrats to Neil in his new role at COO. First question, maybe take us through the dynamics in the fourth quarter in RF technology - it came in lighter both top line and earnings versus our expectations. I know there were some puts and takes in the quarter and you had called out last quarter there was some pull-in into the third quarter for Deltek - I don’t know if that was a factor, or if this was that stub from a year ago. But could you take us through that for starters, please?
Brian Jellison: Rob is chomping at the bit.
Robert Crisci: Hi Deane, good morning. Yes, so it was right in line with our model on EBITDA. We actually were a little bit above our internal guidance model on EBITDA for the segment. We were a little light on revenue - I think we guided to low single digits and it came in minus-1, just because of the difficult MTA comp versus last year and timing on some of the TransCore projects. But it really was in line with our model, so I think, not to speak for the analysts, but it seems like the analysts may have missed the fact that we did have this $35 million or so of revenue last year, and it seems like people weren’t taking that into account when they were doing their RF estimate for Q4. So from our perspective, in line, and more importantly really exceeded in terms of cash flow. The cash flow performance in the quarter was better than we expected, again driven by the new acquisitions, Deltek and ConstructConnect, and really good performance there. So from our viewpoint, it was a solid quarter in RF.
Brian Jellison: I just want to reassert that Deltek and ConstructConnect outperformed in the fourth quarter versus our model. It solely centers on the intelligent traffic system side of project management at TransCore.
Deane Dray: Got it, and then how about just the--expand more on the tax reform impact. Rob, can you just kind of take us through the details of how you work through the implications for Roper’s tax position for 2018 and beyond? What swings you from 21 to 23 - we had been modeling 23, and what might be the dynamic in the first quarter that would be taking you lower than that?
Robert Crisci: Yes, sure. So like every other company out there, there was a lot of work done, and I commend our tax department - they’ve been working long hours all the month of January to really get all this work done in time for the earnings call and, of course, the 10-K coming up. So yes, I think as Brian mentioned, we’re probably--we had to give a point estimate, it’s probably around 22% is our long-term, right? We wanted to give a range because there are some moving parts, and so it’s always difficult when you’re under a new law here to make sure you get everything ironed out, but I think that we’re pretty comfortable with that 22% number over the long term. As far as Q1, there are some discrete items, particularly around the deductions for compensation that would drive Q1 a little lower, as Brian mentioned probably a little under 20%. But you know, on a full-year long term, certainly if you want to put 22 in the model, it’s probably a fine number.
Deane Dray: Got it. Then if I can sneak one more question in, maybe hear from Neil, just broad brush - you may be early in the process, but what might we be seeing in the way of a re-segmentation? It sounds like that’s one of the first orders of business for you.
Brian Jellison: I’ll give him a second to respond, but the thing is that most of the businesses report to either Neil or myself, so if you look at the way we’re structured in RF, one of our key leaders is Tracy Marks that’s over the ITS business. Another really key leader is Mike Corkery, who is over Deltek. It’s our largest business. If you put the two largest revenue businesses really are the TransCore piece and the Deltek piece, they have, as you might guess, absolutely nothing to do with each other, so we have got this segment and there is a whole lot of other things that are a products piece, some of those report to Paul Soni, others report to Claude Pumilia, and what we’ve found over the last year is we’ve done some pretty significant talent upgrades, because as we’re interviewing people, shockingly most people would like to know who they’re going to report to and which businesses they have responsibility for, and we would be embarrassed if--you know, when we try to explain how the labyrinth works. So I’d like to have some time here with Neil looking at how I’ve kind of viewed the company since 2016. You know, we have products that are divided really into a couple of large categories, and those subcategories are precision technology, fluid handling, medical products and RF products. On the other side, we have our software businesses, and they really have kind of four subcategories. You have our healthcare software business, you have our alternate site business, you have our application software business, and you have our project management business. We’ve tried to maintain the same segment reporting for probably a little longer than we should. This won’t really have an effect on how the 50 P&Ls in the company work, but it will have an effect on how Neil and I are looking at forward structure and long-term executive leadership positions. So inside that, then, it’s all yours.
Neil Hunn: Yes, the only thing I would add, Deane, is this is about how we organize ourselves, not how we operate the businesses. I’d just leave it there and look forward to unveiling more of that as Brian and I work through it in the next few quarters.
Deane Dray: Great, thank you.
Operator: Moving on, we’ll take our next question from Christopher Glynn from Oppenheimer.
Christopher Glynn: Thanks, good morning. Good to see the free cash flow conversion remains best in class after the switch to adjusted net income. Relative to the 121% this year, is that a good proxy for how the cash flow versus the A&I is structured?
Robert Crisci: Yes, so I would say long term, excellent year in 2017. If I had to give you a 2018, we’d probably be 120% conversation on OCF, maybe 115% on free cash flow is sort of a framework. I think the 2017 performance was exceptional and we might be able to do that again, but we’ll certainly always be running at 120% OCF conversion to the new adjusted net earnings, so I’m always trying to clarify. We don’t really report cash EPS, we reported adjusted EPS, and our cash is quite a bit higher than that.
Christopher Glynn: Right, great. Thanks Rob. Brian, since you brought it up, even though you downplayed it, how would you comment on the timeline around ultimate succession?
Brian Jellison: Who knows, three to five years? I think--I have an obligation to notify the board two years in advance, and I haven’t done it, so this is not about succession. What this is, is an opportunity for Neil, who’s worked at a yeoman way with everybody on our strategic planning process, where he and I just spend much more time together as we’re developing what we’re doing, so I used to--I think we were, like, 78, and I think the board was recently upping the retirement age to 80, so I’ll be here for some time. I expect to be here during the deployment of the next $7 billion - I’ll leave it at that.
Christopher Glynn: Great, thanks.
Operator: Moving on, we’ll take our next question from Robert McCarthy from Stifel.
Robert McCarthy: Good morning everyone. Congratulations on a strong end of the year and a constructive guide for ’18. I think I had just two questions. Back on the expiration of the segments, and I think I know the answer to this and it might be a high decibel answer from Brian nevertheless, you guys were pretty clear that this is about how you organize, not about how you run the underlying businesses. But you are a collection of businesses, of high quality businesses that you’ve acquired over time with entrepreneurs or hard-charging execs in those roles, and is this going to lead to potentially some consolidation of those roles or new faces? In other words, do you think of this change of how you’re operating from maybe more of a feudal system with some guidance above to more centralized management of the businesses?
Brian Jellison: I don’t see anything around centralized management. You’d have to probably educate me about the feudal concept. We don’t have any serfs, and you’re right to describe our people the way you do. We actually sent a note out this morning to the people, and the note says, this probably will have nothing to do with any of your independent businesses. I don’t think it will have much. We’ve never found consolidating things and internal synergies are really that great. We do think a focus on long-term growth is pretty important, and I think that there are processes that we’ve been putting in place around strategic deployment and strategy that Neil can be really gifted at working with all of our people with. So I’m sort of hoping for maybe a little bit better long-term sustainable organic growth power with this, but it doesn’t change anything for individual businesses. It’s not--it’s just better to have all the operating people ultimately reporting to one person. Then I think long term when you think about succession, I mean, knowing Neil as well as I do and our culture, my guess is that at some point, Neil will say that that role doesn’t need to exist anymore. So it’s just a nice transition opportunity for us to get everybody on the same page. Neil, you may want to add to that?
Neil Hunn: The only thing I’d add is this business has been built over a long time with a system that’s about the niche orientation, the resource allocation decisions being made at the field, the field operators being held accountable to results, and I don’t see any of that changing for a very, very long time, if ever. I mean, it works for us and it will continue to work.
Robert McCarthy: Thanks for that helpful clarification, because obviously that’s been the secret to your existing and continuing success. A related question to that is do you anticipate the output of this analysis or this process that you’re putting together, could this lead potentially to perhaps identifying businesses that are non-core and perhaps would be better served as a separate entity? I mean, obviously this is the old chestnut of the break-up of Roper or a spin of certain more cyclically or capital-intensive businesses of Roper.
Brian Jellison: Well, we’ve talked about that, not at great--the company is not going to break up, period, end of discussion. We might divest some things or we might spin some minor thing. Actually, what’s happened is tax reform makes portfolio adjustment way more attractive when you think about divestments, so as you know, these businesses have been around forever so they have almost no tax basis, so whatever you sell them for, if you’re paying 35%, it’s just hopeless; but if you’re only paying 21%, it might be a little less hopeless depending on what you’re using with the cash you get out of that business. So there’s probably a little--I’d say there’s a modest uptick in our willingness to divest something than we would have had three years ago and further. Most all of our businesses, if they aren’t software related, they still have firmware in their products and they’re communicating. There are only a small number of our businesses that are not like that, and so--but we will take a hard look at those businesses and what’s the optimum use of them.
Robert McCarthy: If I can sneak just one more in real quick, you’ve made a comment about obviously perhaps an increased focus on U.S. M&A from the standpoint of the ability to redeploy capital here - I think it was a comment on one of the slides, but could you comment on that, and then just comment--I mean, you look at what basically software has done for you in terms of creating a better, more fertile opportunity set of M&A, because you’ve basically been able to find businesses that are around information domain management and then automate them through software or have a subscription business - you know, basically the SaaS model. Has there been any changes in technology in the last five years that creates even more fertile ground for more opportunity for a different kind of software business, and comment on the relative appetite of businesses perhaps in the U.S.
Brian Jellison: Well, the technology is not the driving force there. The driving force is that you have, say, 20 or 25% of your cash that you’re generating each year is offshore, and you can’t repatriate it without a big penalty. Instead of having 100% of your cash flow generation being able to go to deployment activity, you only have 75%. So now we have 100% and we’re not constrained. A lot of the software niches that we buy are U.S.-centric businesses as opposed to global businesses, and so having 100% of your cash available to deploy on those U.S. niche businesses is very likely to lead to us buying more U.S. niche businesses that will get hooked up with Deltek and ConstructConnect and Aderant. That’s the reason we’re sort of raising what we expect to deploy on capital. Now you know, it could be the next acquisition we announce will be a German company, but we’re live on four things now and they’re all software-related, and most of them are U.S.-centric.
Robert McCarthy: Thus endeth the lesson.
Brian Jellison: There you go.
Operator: Moving on, we’ll take our next question from Joe Giordano from Cowen.
Joe Giordano: Hey guys, good morning. I just wanted to start with your comments on U.S. lab. Are we talking Sunquest specifically here, and how would you categorize that dynamic now? Is it more market-based, is it a share loss kind of situation, is it a combo, and how does this kind of change your outlook onto bolt-ons to supplement that business? I know you’ve made a few in the past, and is that less likely now?
Brian Jellison: No. The bolt-ons in the business are performing outstandingly well. Those are all double-digit growers, they’re doing exceptionally well. It’s just that the U.S. lab business is in a unique couple of year situation where people are rolling out their ERP that they have acquired over the last X-years, so you went through a period of artificial stimulation with meaningful use at the beginning when we acquired Sunquest. We knew that - that wasn’t a surprise for us, and as that disappeared, what replaced it was the rollout of various ERP projects in which Sunquest was oftentimes the niche lab provider but isn’t going to get renewed at some point in time when that ERP is put in place. That process started to hurt us two years ago and hurt us a little more last year, not going to be helpful this year or next. We already know who all those are, so we expect to [indiscernible] 5 or 6% of our install base to the ERP people. That will stop, and then I think we’ll not only continue to have some sort of modest single-digit growth but we’re likely to start selling and replacing some of the people who tried cumbersome ERP systems that are not good for the laboratory. So we’re going to go through this period where the CFO is winning at the expense of the laboratory guy, but at the end of the day, the cost to the hospital we think is minimized with our technology.
Joe Giordano: Fair enough. Then on the TransCore side, is there something that we have to think about from a structural margin perspective related to tags, and we’re seeing more of these systems go in that are camera-based where you don’t need a tag and it just flashes against your license plate. Is that a structural shift in the market that we have to think about the margin dynamics of that business a little bit differently?
Brian Jellison: Well you know, the tags are relatively high margin compared to any of the project work, but all the other technology, we still lead in all the other technology, so if you’re looking at readers and cameras, we actually use our Luminara brand cameras for a whole bunch of the things you’re talking about, and those businesses all have decent margins. It’s just that as the project business continues to grow, and it’s growing at the expense of other public companies that I really shouldn’t name, and all you have to do is read about their total malaise, but the margins associated with our project business are the worst we have. They’re best in class for TransCore - their results are spectacular, but for us they’re a drag on our margins. I don’t think that’s going to change anytime soon.
Robert Crisci: I would just add, even with the camera technology, you still need that tag. I mean, that’s the whole point, is the tag allows the agency to properly collect the funds from the user. The camera is just a back-up, and so you’re always going to have the tag.
Joe Giordano: But don’t a lot of the systems now just take a print of your license plate and mail you a bill in the mail? That’s what a lot of the ones in New York have now, right?
Brian Jellison: Absolutely some of the ones are license plate drive, but it’s still our collection technology, and oftentimes it’s our collection administration -you know, somebody gets a call for a bill payment, it’s actually our admin people masquerading as whatever the tolling authority in the area is. That’s the big administrative business we’re talking about, which continues to grow at the expense of others but is a little less exciting for us. Its growth will always diminish our gross margins.
Joe Giordano: Last from me, the delivery of imaging backlog - you know, we’ve been waiting for the cryo-EM stuff we’ve been talking about for a while. How much is that contributing to your lower margin comments for the medical segment? I figure that would be kind of good on top line but mix negative for you guys, I’d assume, right?
Robert Crisci: Yes, so those are good margin products. Their shipments are skewed towards Q2 and Q3, so in Q1 the margin performance of the medical segment is going to be lower than on a full-year basis, so it will be down more than 100 basis points because we’re not yet getting the shipments. Also, a lot of the start-up costs around Australia are hitting in the first quarter, so once you get into Q2, Q3, I would say the margins are not--it’s probably in line with the segment, it’s not really a big headwind with the mix.
Joe Giordano: Okay.
Brian Jellison : Yes, the medical segment margins are going to be 41 to 42% EBITDA, for heaven’s sake. They’re still going to be the highest in the company.
Joe Giordano: Fair enough. Thanks guys.
Operator: Moving on, we’ll take our next question from Steve Tusa from JP Morgan.
Unknown Analyst: Hey guys, this is actually [indiscernible] on for Steve Tusa. Just had a few questions. I didn’t hear it mentioned, but just wondering did you guys see any impacts from or will you see any impacts from the revenue recognition accounting change ASC 606?
Robert Crisci: Yes, thanks for asking. We are of course adopting that this year, but the impact is less than we probably would have originally estimated before we did all the work. It will be a $15 million or so impact to deferred revenue on the balance sheet as of January 1 of this year, but then the revenue recognized under the new standard will actually make up that number during ’18, so on a net basis we don’t see it having any impact to our earnings, so it’s going to be something that will of course flow through our GAAP earnings but not something that we feel necessary to call out for any sort of an adjustment, because there really isn’t going to be much of a net impact. But that’s the reason [indiscernible] going through every single one of our companies. Revenue recognition is really a project that’s been going on here the last six months-plus, led by Jason Conley and the accounting department, so we feel very good about that .
Unknown Analyst: Got it, cool. Thanks for the clarification. Then for the other segments outside medical, can you give a sense of the operating leverage targets? Is 40% a good ballpark to think about year-over-year, operating margin leverage?
Brian Jellison: The enterprise probably comes in in the 30%-plus leverage category with medical’s leverage being less and then industrial and energy, you’d expect 40% leverage plus in those. In RF, it’s kind of a--I mean, it will have high leverage, it’s just what the revenue is, is tough to pick because of TransCore, so probably more like 35 in RF.
Unknown Analyst: Got it, that’s helpful. Lastly for me, do you have a sense of timing or likely timing around when we’re going to learn about some decisions around the segment restructuring?
Brian Jellison: Oh, it could take a year - who knows? We’ve been talking about this since 2016, and there’s a lot of moving parts plus we have acquisitions that will be going on. But part of it is just finding a better way to nest the acquisitions into segments that make a lot of clarity, right?
Unknown Analyst: Yes, okay, got it. Thanks a lot, guys.
Operator: Moving on, we’ll take our next question from Jeff Sprague from Vertical Research.
Jeff Sprague: Thank you, good morning everyone. Just two quick ones from me. Brian, is it inconceivable that you could do some M&A in industrial or energy when we think about the technology overlap and infiltration that we’re starting to see into industrial markets?
Brian Jellison: It’s not inconceivable. I mean, we’re looking at one, sort of a--to the degree we ever did one, we’re involved with one that’s pretty attractive. I don’t know that we’d get home on it, but if it was less around a mechanical product--I’d say we wouldn’t do it with a mechanical product. It would have to be something that had an algorithm associated with data collection, and there are an increasing number of those. So yes, I wouldn’t rule it out, it’s just unfortunately, Jeff, most of those come with more asset intensity than we like because--you know, if the need a factory as opposed to an assembly operation, then we probably wouldn’t do it.
Jeff Sprague: Great, and then just back again to the re-seg, not to minimize the complexity and the work you want to do, but it sounds like you have been thinking about it for a long time and you guys are pretty sharp guys, I would think you’ve got a pretty good sense of what you really want to do. I’m not sure what I’m missing on why it would take a year to figure all this out. Is there something more--
Brian Jellison: It’s a lot of people things, you know? We’ve got a lot of--we have spectacular people. The recent addition of--you know, you look at Aderant, we’ve got a terrific lady that’s running that, Deane Price. We’ve got Mike Corkery has terrific capacity - I’m sure he could be running our company. You’ve got Dave Conway, a lot of capacity, so it’s really a whole lot of it is around where are we investing in human capital.
Jeff Sprague: Right, makes sense. Thank you.
Operator: Moving on, we’ll take our next question from Richard Eastman from Baird.
Richard Eastman: Hi, good morning. Could I just double back for a minute to the medical scientific? I’m just curious, Neil, perhaps could you just define how much of medical scientific, or in particular the medical software, acute care software is international versus U.S.? Perhaps just as a follow-on, speak to the investment that is going into the business - is it going in to make the software more appropriate for the international market? Where is the investment going that you speak to?
Neil Hunn: Of the acute care software grouping, it’s maybe 40% international, 60% U.S. The way that we think about the investment, as we’ve talked a couple times on this call, there is an investment in 2018 in the start-up in Queensland in Australia, so we’ve talked about that. In the U.S. market, it’s less about incremental new investments - we feel we have the right amount of R&D. It’s more about how you orient that and program the R&D dollars for the new products, and also how we--we have changed the way we attack the U.S. channel. We’ve realigned people, we’ve realigned the way they’re going to the market, we’ve added a few new managers in the business to think about that. So it’s more about reorienting what we’re doing in the U.S., so it’s not about incremental new investment there.
Richard Eastman: Okay, and is any of that stepped up investment going to med products, or have we already funded that given some of the new products sent out to market on the BladderScan side?
Neil Hunn: There is in the medical products group, there is a fair amount of--there is a little bit of product investment year-over-year and there is a fair amount of channel investment across three or four of our businesses there that’s occurring in 2018. That’s a discrete item there.
Richard Eastman: Okay, thank you.
Operator: That will end our question and answer session for this call. We will now return back to Zack Moxcey for closing remarks.
Zack Moxcey: Thank you everyone for joining us today, and we look forward to speaking with you during our next earnings call.
Operator: That will conclude today’s conference. We do thank you for your participation. You may now disconnect.